Operator: Good day and thank you for standing by. Welcome to the AppFolio, Inc. First Quarter 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today’s conference is being recorded. [Operator Instructions] I will now hand it over to the presenter, Ms. Erica Abrams. You may begin your conference.
Erica Abrams: Thank you, Maria. Good afternoon, ladies and gentlemen, and thank you for joining us today as we report AppFolio's first quarter of 2021 financial results. With me on the call today are Jason Randall, AppFolio's President and CEO; and Ida Kane, AppFolio's Chief Financial Officer. This call is simultaneously being webcast on the Investor Relations section of our Web site at www.appfolioinc.com. Before we get started, I would like to remind everyone that AppFolio's Safe Harbor Policy. Comments made during this conference call and webcast contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and are subjects to risks and uncertainties. Any statement that refers to expectations, projections, or other characterizations of future events, including financial projections or future market conditions is a forward-looking statement. AppFolio’s actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in our SEC filings. AppFolio assumes no obligation to update any such forward-looking statements except as required by law. Please see our filings with the SEC, including our Form 10-Q, which was filed earlier today for greater detail about risks and uncertainties. With that, I’ll turn the call over to Ida Kane, CFO. Ida, please go ahead.
Ida Kane: Thank you, Erica, and welcome to everyone joining us for AppFolio’s first quarter of fiscal year 2021 financial results. For the quarter, we recorded total revenue of $78.9 million, GAAP net income was $479,000 or $0.01 per diluted share. This includes an income tax benefit of $5.5 million. Also included in GAAP net income is $2.8 million in non-cash charges related to stock-based compensation. As Erica mentioned, our Form 10-Q was filed today and includes more details on our results. On the call today, to enhance clarity and comparability, I’ll discuss the results of our continuing real estate business, excluding the impact of the MyCase operations for comparable periods historically. To that end, revenue from our continuing business for the first quarter of 2021 was $78.9 million, which represents an increase of 22% over revenue of $64.9 million over the same period in the prior-year. As you know, we provide innovative software services and data analytics to customers in the real estate industry. Our solutions are used by property managers whom we refer to as "Customers" in our public filing, and also by numerous other constituencies in the property management business ecosystem. These other constituencies include property owners, rental prospects, tenants, and service providers, whom we collectively refer to as "Users" in our public filings. We generate revenue from our customers and from these users, as our software and services aim to serve the full business ecosystem. Core solutions revenue derived from subscriptions to our customers in our continuing business in the first quarter of fiscal 2021 was $24.2 million, an increase of 18% over $20.5 million for the year-ago period. Value+ services revenue from our continuing business was $51.5 million in the first quarter of 2021, an increase of 26% over $40.9 million for the same year-ago period. The increase in revenue year-over-year was primarily attributed to a 10% growth in the average number of property manager customers using our software, and a 16% growth in the average number of units under management. During the first quarter of 2021, we continued to experience increased demand for our electronic payment services, as residents, property managers, owners and customers transacted more business online. We also experienced growth in several other Value+ service offerings, primarily those related to the rental process. A significant majority of our Value+ services revenue comes directly and indirectly from the use of our electronic payment services, tenant screening services, and the insurance services we make available to customers and other constituencies in the property management ecosystem. At March 31 2021, we had over 16,100 real estate property management customers with 5.62 million units in their portfolio. We continue to focus on growing our customer user base, and expanding their adoption and utilization of Value+ services, which are designed to enhance, automate, and streamline processes and workflows that are essential to our customers businesses. Turning now to spending, total cost and operating expenses in the first quarter of 2021 were $84.3 million, and included a $1.4 million accrual related to long-term executive cash incentive plans for certain executives. Our SEC filings have additional information regarding the long-term executive cash incentive plans and related accrual. Including these accruals, we saw an overall increase in costs and operating expenses from our continuing business, up 34% in the first quarter of 2021 as compared to the prior-year. The 34% increase in cost year-over-year from $62.8 million to $84.3 million from our continuing business are mainly attributable to the 26% growth in our Value+ services revenue, and the third-party costs incurred to support them, as well as growth in personnel costs, with headcount increasing 18% year-over-year. As we mentioned our last earnings call, we hope to begin slowly transitioning fact to in-person work during the remainder of fiscal year 2021. However, employees currently have the option to work remotely for at least the rest of the year, and our return-to-work plan is contingent on public health guidance. Last month, we signed a new lease agreement for our office space in San Diego. We are in the early stages of preparing that space for our employees, and expect that office space to come online in fiscal year 2022. Moving to the balance sheet, at March 31, 2021, our principal sources of liquidity were cash, cash equivalents, and investment securities, which had an aggregate balance of almost $160 million. During the quarter, we used $4.4 million for operating activities. In addition, we used $6.1 million for capitalized software development in connection with continued investment in our technology and service offering, and $900,000 for capital expenditures. Furthermore, we spent $4 million related to tax withholdings for RFU net share settlement. Before I move to the outlook for the remainder of 2021, I would like to address my upcoming departure. As you read from the press release, I recently informed Jason and the Board of Directors that I will be leaving the company. This personal decision was difficult for me, given how positive I feel about AppFolio. I am grateful for the opportunity and success we have achieved over the past six plus years. And I'm committed to supporting Jason, the Board, and the rest of the AppFolio team through a successful transition. With the first quarter behind us and a full-year of COVID in the rearview mirror, we are sharing guidance for our full fiscal year 2021. We expect total revenue from our continuing business for fiscal 2021 to be in the range of $348 million to $355 million. The midpoint of the range implies year-over-year growth of 23.5% from our continuing business in 2021. We continue to expect our weighted average diluted share count for the year to be approximately 36 million shares. With that, I'll turn the call over to Jason for some additional comments. Please go ahead, Jason.
Jason Randall: Thank you, Ida, and thanks to everyone for joining us today. I know the Board and everyone at AppFolio thanks Ida for her contributions to our company over the past six plus years. Through her leadership, we have built a strong finance and corporate development team that will continue its financial discipline and growth mindset together with a new CFO. We have initiated a search for her successor, and Ida and I will work together on a smooth transition. Ida, I will miss working with you, and wish you the best. I know you'll be cheering for AppFolio from the sidelines moving forward. Our first quarter results reflect our continued focus on providing great software and service to a growing customer base. It is our goal to deliver transformational technology and exceptional customer experiences, while nurturing a strong team culture. And we believe these are key pillars on our path to achieve long-term sustainable growth. Our customers continue to rely on our cloud-based software to power their businesses, especially if they adapt to the evolving needs and expectations of their own customers in business ecosystems. AppFolio Software and Solutions are designed to serve as our customers systems of record, system of engagement, and system of intelligence, helping them unlock more value in their business and keep up with the pace of digital transformation across the real estate industry. In the first quarter, we had a new functionality for our AppFolio property manager customers intended to improve virtual experiences and increase efficiency as they prepare for the demands of the upcoming residential leasing season. Product updates focused on helping our customers retain high quality residents increase the ease and automation of turning units and drive leasing demand, recognizing that the number of days it takes to turn a unit and prepare it for new showings is an opportunity to improve operational efficiency for our customers. We have digitized the manual process with the unit turn board. This capability is currently available on a limited basis for a subset of customers and provides a centralized way to monitor the work related to preparing newness for new leases. Joel Rothstein, CEO of North Oak Property Management, which manages 1,800 units commented. The unit turned board has been another key component of why we are happy with AppFolio as a property management software, their continued innovation willingness to listen to what innovation is needed by its users has been important to our ongoing partner. Our customers continue to recognize the value of an intuitive solution to drive increased efficiency and growth in their business. According to Ryan Slagle, General Manager of MWS Properties, which manages 1,145 units, AppFolio has streamlined our processes, we have gone almost paperless, it started with online applications to online payments and then online work orders and now fully digitally signings. We continue to deliver value to our larger AppFolio property manager plus customers who are managing complex portfolios as well as owner and vendor relationships across multiple regions. This past year has highlighted that remote work and dispersed teams require our customers to have even stronger oversight of their business operations and managing their businesses through multiple systems and tools can lead to gaps and visibility, communications, and operational efficiency. In the first quarter, we partnered with NetVendor, streamline vendor compliance tracking for ATM plus customers thereby minimizing risk and providing them with a single system of record. Nicholas Mertens, VP of Property Management for Atlas Real Estate with 4,300 units and their management commented on his plus experience. Before using AppFolio, we had six or so systems doing about half of what AppFolio can do. We keep finding new ways to incorporate AppFolio into our business and up to our reporting and workflow game substantially by upgrading to AppFolio plus. Turning to community associations, we launched a purpose-built association calendar, bringing a traditionally fragmented and offline process of managing board meetings, staff updates, and association events into one centrally managed location for association managers to drive team efficiency and improve communication. Beyond Property Management, in the first quarter, we had new capabilities to AppFolio investment management. Our real estate investment management customers choose our software solution to provide a more modern investor experience and improved deal flow and visibility. Customers like Tony Bettis, President and CEO of All Pro Capital LLC have experienced growth, thanks to streamlining their business operations. According to Tony, AppFolio investment management allowed us to scale much larger with less staff and make it much more convenient for the investors. In the quarter, we gained industry recognition for our technology, customer partnership and business success. We ranked number five on Forbes list of America's best mid-size companies for 2021. And from the business intelligence group, AppFolio was a two time winner receiving awards in the areas of customer service to innovation for AppFolio AI leasing assistant Lisa. This recognition is a testament to our team's work ethic, agility and customer focus throughout the past year. Looking ahead, we remain focused on generating long-term sustainable growth through our technology and rapid innovation, our commitment to providing exceptional service to our customers and our strong team and culture. We are dedicated to delivering solutions and services that solve the top challenges facing our customers now and into the future. Thank you all for joining us today. I will now turn the call back to the operator. Please go ahead.
Operator: And this concludes today's conference call. If you would like to hear the replay of the call, you may do so by dialing 800-585-8367 or 416621464. And the international number is 416-621-4642. You may type in the conference ID 6585354. Again, if you'd like to hear the replay of the call, you may do so by dialing 800-585-8367 or 416621464 and the international number is 416-621-4642. You may type in the conference ID 6585354. Thank you for participating. You may now disconnect your lines. Have a great day.
End of Q&A: